Operator: Good day ladies and gentlemen, and welcome to the Q1 2013 Stoneridge Earnings Conference Call. My name is Alison and I am your event manager. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions) As a reminder this call is being recorded for replay purposes. I would now like to turn the call over to Mr. Kenneth Kure, Corporate Treasurer and Director of Finance. Please proceed sir.
Kenneth Kure: Good morning everyone, and thank you for joining us on today's call. By now you should have received our first quarter earnings release. The release and accompanying presentation has been or shortly be filed with the SEC and are posted on our website at www.stoneridge.com. Joining me on today's call are John Corey, our President and Chief Executive Officer and George Strickler, our Chief Financial Officer. Before we begin, I need to inform you that certain statements today may be forward-looking statements. Forward-looking statements include statements that are not historical in nature and include information concerning our future results or plans. Although we believe that such statements are based upon reasonable assumptions, you should understand that these statements are subject to risks and uncertainties and actual results may differ materially. Additional information about such factors and uncertainties that could cause actual results to differ may be found in our 10-K filed with the Securities and Exchange Commission under the heading Forward-Looking Statements. During today’s call, we’ll also be referring to certain non-GAAP financial measures. Please see the Investor Relations section of our website for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. John will begin the call with an update on the current market conditions, operating performance in the first quarter, our growth strategies, business development and his thoughts on future initiatives. George will discuss the financial and operational aspects of the first quarter in more detail. We’ve prepared and published an earnings presentation to provide more detailed schedules to help the understanding of our first quarter results, trends and continued improvement. A copy of these items can be found on our website at www.stoneridge.com in the Investor Relations section. After John and George have finished their formal remarks, we will then open up the call for questions. I’ll turn the call over to John.
John Corey: Good morning. First quarter results announced today are consistent with our expectations and the 2013 guidance previously provided. Revenues in the first quarter were $235.7 million, a decrease of $26.6 million or 10.1% over the first quarter of 2012 driven primarily by lower market activity in the North American and European commercial vehicle markets and continued softness in Brazil. However, revenue continued to improve in the first quarter of 2013 by $13 million or 5.8% over the fourth quarter of 2012 and $16.4 million or 7.5% over the third quarter of 2012. The trend of the market has been improving over the last three quarters and from the improvements in our margins we have been able to leverage these revenue gains over the last three quarters. We think we are positioned to improve gross margins and operating margins as the markets continue to recover in the second half of the year which is what is projected in our annual guidance. Earnings per share was $0.15 compared to our first quarter of 2012 EPS of $0.22. We maintained operating margins in our core business at 4.8% despite sales being lower by $15.3 million. Consolidated Stoneridge including PST our operating income has progressively improved from 3% in the third quarter of ’12 to 3.9% in the fourth quarter of 2012 to 4.4% in the first quarter of 2013. Our EPS similarly has improved from $0.02 a share in the third quarter of 2012 to $0.10 a share in the fourth quarter of 2012 to $0.15 a share in the first quarter of 2013. Operating margins excluding PST improved in the first quarter of 2013 versus the fourth quarter of 2012, rising to 4.8% from 3.2% in the fourth quarter of last year. PST’s operating margins excluding purchase accounting were 6.9% in the first quarter, a decline from the fourth quarter’s 10.3% on lower sales, which is in part due to seasonality and mix. Historically, the sales progression of PST is weakest in the first quarter growing each quarter to be the highest in the fourth quarter. Stoneridge’s market portfolio mix of automotive, Ag and aftermarket in Brazil helped enable us to offset the full impact of the commercial vehicle market softness in North America and Europe. The market mix combined with cost reductions in 2012 benefited our results. Material cost as a percentage of sales also improved. Slide 12 of our deck shows the direct material impacts of these actions on Stoneridge’s core gross margins. In the first quarter, operating cash was an outflow of $600,000 compared to $5.9 million inflow in the first quarter of last year. Inventory increases at PST to support seasonal production ramp-ups and accounts receivable increases in our core business from sales increases in February and March of this year compared to our November and December rate from last year. Slide four of our deck has complete P&L breakout on the first quarter of 2012 versus the first quarter of 2013. Slide five identifies Stoneridge’s core sales decreases versus the prior year first quarter which was primarily from the commercial vehicle business. Slide six of our deck identifies the major bridge item differences between first quarter of 2013 and the first quarter of 2012 earnings per share. The quarter’s difference is primarily due to lower volume partially offset by cost reduction benefits. Agricultural and other equipment sales decreased by approximately 6.9% to $45.8 million in the first quarter compared to the first quarter of the prior year mostly due to reduced Ag sales. Again, slide five provides the detail. Sales in our passenger car and light truck category, which are predominantly controlled device sales, were $57.6 million in the first quarter compared to $55.1 million, a 4.7% increase over the first quarter of 2012 due primarily to new product sales from keyless entry, shift-by-wire and front axle disconnect products. New and replacement business awards for Stoneridge’s core business in the first quarter were $22 million, representing $18.2 million in new business awards and $3.8 million in replacement awards. Among the larger new business awards was the front axle disconnect actuator award for a large North American car customer, and a wiring award from a newer North America commercial vehicle customer. In addition, in April we were awarded our first sensor award with a European account for the North America market. This is a significant achievement because it is one of our developing emissions technologies. In addition in April, we were notified of a large award for shift-by-wire, which is an equally exciting development as it has global applications with the key automotive account. We will provide more information on these April awards in the second quarter call. Minda Stoneridge, our unconsolidated JV in India, posted first quarter sales of $8.6 million, a decrease of 10.1% versus the first quarter of last year. The sales decrease was driven primarily by a 9.3% reduction in valuation of the Indian rupee compared to the U.S. dollar and the general weakening of the Indian economy. Excluding the effects of foreign currency exchange, Minda sales were down about 1.7% compared to the prior year and are being adversely affected by weaker economic environment. Our share of Minda’s net income from operations in the first quarter was a profit of $231,000 compared to a profit of a $139,000 in the first quarter of 2012. Minda’s improved profit performance was in part due to lower overhead and improved labor efficiency in the current quarter. PST’s first quarter U.S. dollar sales were $42.4 million based on an average exchange rate of 1.99 reais to the U.S. dollar. First quarter 2012 sales were at $53.7 million based on an average exchange rate of 1.77 reais to the dollar or devaluation from currency of about 12.4%. This represented a decrease in U.S. revenue of $11.3 million or 21%, but in reais it was a decrease of 10.1%. The lower sales in the first quarter of 2013 was a result of decreases in audio sales in the mass retailer channel and window lift actuators in OEM channels. PST's local currency sales were relatively flat over the last three quarters. In U.S. dollars, first quarter sales in 2013 were $42.4 million compared with $43.8 million in the third quarter of 2012 and $44.5 million in the fourth quarter of 2012. The third and fourth quarters of PST are historically higher than the first and second quarters, so we believe there is some gradual improvement coming in the market. PST’s gross margin excluding $300,000 for purchase accounting was 42.5% in the first quarter of 2013 compared to 42.6% in the first quarter of 2012. Gross margin was maintained in the first quarter of 2013 despite lower sales due to the repositioning and elimination of low end audio lines and lower margin window lift products and benefited from the second quarter 2012 cost reduction initiatives. Gross margin trends of PST have followed the improved sales mix and cost initiatives. PST's gross margin excluding purchase accounting have increased sequentially in each quarter from 40.1% in the second quarter of 2012 to 42.5% in the first quarter of 2013. PST’s first quarter operating income excluding purchase price accounting was $2.9 million and has also improved to 6.9% of sales compared to 6.5% of sales in the first quarter of 2012. PST increased its operating margin by 4/10th of 1% despite a drop of 10.2 million in local currency sales. The improvement in operating income is driven by approximately $2.2 million in benefits from the cost reduction actions completed in 2012 as shown on our slide deck 20 of our package and their ability to improve the mix with alarm systems and tracking devices in the after market channel. Summing it up from the marketer’s perspective, the North American commercial vehicle and agricultural markets under performed our expectations. Passenger car and European commercial markets met our expectations and PST slightly outperformed our expectations. On a consolidated basis, our sales has improved over the last three quarters and our gross margin and operating income have improved as well. Our cost savings completed in the second and third quarter of 2012 have benefited our profitability in the third and fourth quarters of last year and continued in the first quarter of this year. As we begin the second quarter, we expect to see the markets gradually improve. We are positioned to benefit from improved market volumes and leverage of cost base we currently have. Even with the modest increase in volumes, we expect our profitability to improve solidly during 2013 due to our mix of products, cost initiatives, continued efficiency improvements and a stabilizing currency and commodity markets. As a result we are reaffirming our annual guidance and see our EPS for 2013 in the range of $0.75 to $0.95 per share as originally published on February 7, 2013. With that I would like to turn the call over to George.
George Strickler: Thank you, John. As the markets have been improving over the last three quarters they have also been able to benefit from the actions that we implemented during 2012 to improve our operations, reduce our costs, generate cash flows and reduce debt levels. Our first quarter performance is consistent with our expectations of improved profitability in the face of quarter-on-quarter sales reductions of the first quarter of 2013 compared to the first quarter of last year. Our first quarter improvement continues to trend up higher sales and gross margin and operating income margin improvement from the third and the fourth quarters of 2012 and from the low in the second quarter of last year. As we did in 2012 we have maintained cash flow generation as one of our primary objectives for 2013, and as indicated on slide 18 we improved the total debt-to-EBITDA ratio from 3.5 times at December 31, 2011 to 3.3 times at December 31, 2012. With our 2013 guidance we expect our debt-to-EBITDA to be in the range of 2 times to 2.5 times by the end of this year. During the first quarter PST received 25 million reais or approximately $12.3 million in low cost incentive loans from the Brazilian governments which carry an annual interest rate of 5.5% in local currency. We anticipate receiving the funds in the second quarter of 2013, but received the funds at the end of March. The proceeds from the incentive loans were used in April to repay $10 million of high interest US dollar loans which will mitigate foreign exchange mark-to-market risk. In addition PST will pay down an additional $3 million in loans as maturities come due in May and US dollar accounts payable in the second quarter to further mitigate foreign exchange risk. The Brazilian government incentive fund which we received earlier than expected had the effect of temporarily increasing our debt-to-EBITDA to 3.6 times at the end of the first quarter. We still expect our debt-to-EBITDA to be in the range of 2.5 times by the end of this year as forecasted. During 2002, we reduced debt by 65.7 million. Our ABL remains undrawn since November 2012. PST reduced our debt by 29.7 million in 2012 and will continue to pay down the US dollar denominated debt in 2013 as discussed above. See slide 18 of our deck. PST sales volume, mix of product sales, the benefits from the cost initiatives and debt reductions taken last year continued to be the key factors in the profitability improvement. PST sales in the first quarter were slightly lower than the fourth quarter of 2012 by $2 million or 4.6%. In comparison to the first quarter of 2012, PST had a sales decline of $11.3 million or 21% due to the reduction of the consumer market and the devaluation of the Brazilian Real. Despite lower sales, PST was able to improve its operating margin excluding non-cash purchase price accounting to 6.9% which is slightly better than its profit margin of 6.5% in the first quarter of 2012 though on much lower sales. PST recorded lower purchase pricing accounting in the first quarter of 2013, which is consistent with our expectations of lower expenses in 2013 as discussed on our last call. Finally, the impact of PST's cost reduction initiatives implemented in the first and second quarter favorably affected operating income by approximately $2.5 million in the first quarter of 2013 compared to first quarter of 2012. See slide 20 of our deck. In our core business we maintained a similar gross margin in the first quarter of 2013 compared to the first quarter of 2012, lower direct material and a favourable mix and controlled devices offset an unfavourable mix and labor inefficiencies in our wiring business segment. See slide four of the deck. John and I shared with you today our management teams actions which address the overall lower production volumes from slowing markets, we experienced in the first half to the second half of 2012, however the market has been improving in both of third and fourth quarters to the first quarter this year. We expect our second quarter 2013 sales levels volumes to be near or slightly better than our first quarter level as Brazil’s GNP is still running at less than 3% this year, softness in the European commercial markets and lower levels of commercial business in North America. From the market projections and the improving sales trends over the last three quarters, we expect second half sales to improve modestly above the first half sales. Even with a flat or slightly improving revenue performance, we have been able to maintain our gross margins of both our Stoneridge based business and at PST to ensure that we will continue to deliver our profitability and cash flow targets. In 2012, we have implemented specific cost reduction initiatives at President, European Electronics and our wiring business. We worked diligently since the fourth quarter of 2011 to redesign our products, raise prices to cover commodity cost increases and worker, suppliers drive down raw material cost as a percentage of the net sales, which resulted in an improvement of raw cost material cost and net sales were approximately 2% of sales in the first quarter of 2013, compared to the first quarter of 2012. As we share with you today the first quarter went according to our plan and we believe we have taken the actions necessary to position the company well for the remainder of 2013. We still believe the market dynamics are stable and will grow moderately for the past car and light truck and Ag markets for 2013. The fundamentals of the North America commercial vehicle market are such that North America commercial fleet is running at 6.7 years of age with increasing in maintenance cost and more fuel efficient engines being offered that may lead 2013 Class A market to run in the range of 240,000 to 250,000 units. We expect our core business sales in the first half of 2013 to be lower than the first half of 2012 and the second half sales to be higher than the second half of last year. We believe the cost actions we have taken throughout 2012 will benefit our core business and PST will improve our operating margins as the year progress. We have taken cost actions necessary in PST and in 2013 we expect PST sales to be slightly lower than 2012 levels, the lower levels in the first half of 2013 and higher levels in the second half of ‘13 compared to 2012. Though the Brazilian government is forecasting a GDP growth in the range of 4% for 2013, we have taken a more modest view and plan for a 2% GDP growth rate in 2013 after we experienced lower consumer demand and purchasing power last year. And finally the cost actions that we have taken at PST will improve our margins throughout this year compared to a last year, and will contribute to continued operating income improvement and cash generation of PST. As a result of these actions we have taken, we continue to have confidence that we can deliver our 2013 guidance of $0.75 per share to $0.95 per share. We will now open the call for questions.
Operator: (Operator Instructions) Your first question comes from the line of Rhem Wood of BB&T Capital Markets.
Rhem Wood - BB&T Capital Markets: To start, how do you feel at this point about your visibility into Brazil and can you talk a little bit about kind of what extra expenses you are going to incur bringing these new products on and how maybe the margins from the new products will kind of proceed?
John Corey: Okay. The visibility in Brazil as you know it’s a large -- it's largely after market and so it is subject as George said to what's going down in the Brazilian economy. We believe we've taken a conservative approach. We think the Brazilian economy is going to be under 2%, so I think our forecast going out are rather conservative in there. And so I think that their performance has improved every quarter since the second quarter last year. We expect that to continue to improve this in the next couple of quarters. Regarding new product launches, these are all factored into our plans and as go forward. So I don't think there's going to be any significant impact in terms of extra expenses that will hit our budgets.
George Strickler: Rhem, one thing I would like to add to Brazil is that we have created a couple of programs in Brazil that give better visibility because as John said its high percentages after market and dealer business. We've started a program. We have 15 promoters around the country. They are meeting with a 100 small dealers every week. So we are getting more direct feedback with our local competitive positioning and where they stand in the marketplace. And then we actively discussed with each one of our large dealers every week, so they are getting a lot of direct feedback from our dealer channel and our after market channel and the small dealers. And I think we have a little better visibility to the market to probably now than we did maybe six to nine months ago. That's not saying if the GDP changes that won't change over consumer confidence and the sentiment, but what we've seen and I think we've shared with you today is their sales have been improving over the last -- since last three quarters since the drop of the trough what I would call in the second quarter of last year.
Rhem Wood - BB&T Capital Markets: And you feel like that inventory levels are at a good level right now?
George Strickler: We've actually commented you know John had earlier in his speech, we've actually raised our inventories because what we found is we reduced them at two different levels during the course of last year and our whole inventory increase in the first quarter was about $5 million for the whole company. That was specifically for Brazil and that's to match our demand. We have a lot of product lines and we have a number of channels of distribution, so though that increase was put in place to satisfy the demands that we are seeing in the local market in Brazil.
Rhem Wood - BB&T Capital Markets: And on the core business side, it sounds like things are going pretty good there. It sounds like you won maybe a new customer award; can you talk a little bit about that and the Navistar business in particular?
George Strickler: Well, with the new customer award we will fully explain in the second quarter because we are going through it right now, but it is significant -- two significant wins as I said, one is the sensor award and that is as we've talked in past calls, we think we've got a product that has some technical advantages to the marketplace, but until we can actually sell it, we're going to announce for the States. So we've gotten our first customer award on that and that program will probably start launching in 2015, but it's exciting because after that week, we have many more opportunities beyond that. The other one is a large award which goes global and so it will be a significant improvement and I think when we talk in our second quarter, you will see the size and magnitude of that award, which benefits us and is based on one of our existing technologies that we're trying to offer to the market. So we're excited about that. Regarding Navistar, there really isn’t much new news we can add to that in terms of their performance in the market. They have their engines certified now and their volume will hopefully pick up later in the year versus what it is. And then our plans, we’ve had a forecast for them to increase but not at the same rate they’ve increased. And I think as the second quarter unfolds, it will start to see, maybe the market will come back a little bit and they will pick up some more share there, but I really don’t have any great insight from their forecast as to what's going on with them.
Rhem Wood - BB&T Capital Markets: And free cash flow, you start to generate a fair amount of that. We talked a little bit about your plans for the debt paydown and would you consider an acquisition at this point?
George Strickler: Well, I think you know and Rhem we will be very active over the next three weeks and I think our message will be fairly consistent as we need to continue to pay down our dollar debt and Brazil and we shared with you that they already paid down about 10 million in April and will do some more probably in the range of 5 million. From there it's continued investment in Asia and Brazil and then we’ve got some customers of choice that we're making investments. And John talked a little bit about the platforms today in China clearly is starting to look better for so we are going to go so. And then bolt-on acquisitions, we are actively looking at a couple of things on a geographic basis. It really fits either gaps we have in a market presence or customer choice or technology and we are working on those, but as you know it's all about relationships and it takes time to unfold and we will be cautious with the bolt-on acquisitions but clearly that is in our portfolio this year. And I think one of things we will share in the upcoming tricks over the next three to four weeks is that our cash flow target will be in the range of 3.5% or 4.5% of sales. So very consistent with what we have been -- we actually been better than that last year. But as you know we improved our inventories quite a bit that has a significant impact on our overall free cash flow in 2012. This year will be driven primarily from profitability.
Operator: Thank you. And your next question comes from the line of Justin Long of Stephens. Please proceed.
Justin Long - Stephens Inc.: To start off just based on the reiterated guidance for the full year, I know there were some puts and takes, but would you say that overall in the first quarter was roughly in line with your expectations just looking at it on a consolidated basis?
George Strickler: Yes. I think the first quarter came in right about where we expect it as we just -- as we try to explain some markets were little bit better, some were little bit worse, but overall it hit right about where we expected.
Justin Long - Stephens Inc.: Okay. And you gave some good color in terms of your expectations for how the top line plays out the remainder of the year, but can you give any detail on the cadence of earnings you expect as the year plays out into 2Q and the back half of the year or at least what's baked into your guidance on that front?
George Strickler: Well, Justin as a rough guideline is that clearly our revenue and just looking at our guidance, we would say that we will build sales in the range of little over $30 million over the course of the year which being much more weighted to the second half than the first half. And the earnings distribution will tend to be about 40% in the first half, 60% in second half so I think that would give you a relative trend of where we are going, but as you know we don't give specific guidance by quarter, but I think it is consistent with John just said, it was that first quarter was pretty much in plan as we looked at and we are trending well in the second quarter base and the guideline I just gave you.
Justin Long - Stephens Inc.: It seems like you expect at least some type of pick up in the second half of this year, is that based primarily on some of the conversations you’ve had recently with the customer base or is this more related to just typical seasonality that you experienced?
John Corey: It's really based on what -- the forecast that we are seeing from the general market forecast there and then specific comments from customers, but when I get out to the second half of the year, it is very hard for the people to sit there and definitely say that they are going to see an increase. And so we take that (inaudible), but we believe that the market performance of the commercial vehicle market is going to improve to a degree of the improvement it was what we are trying, we are trying to be conservative on, but I think as long and Europe as running just exactly where we want it to, where it runs and so I think the improves will get some benefit from that. And I do think as George indicated in his comments that the age of the fleet North America commercial vehicle has to sooner or later be replaced and I think generally people are expecting that to happen slowly over this year.
Justin Long - Stephens Inc.: Right. And I think on the last call you mentioned your assumptions for North American Class A production were about 240,000 to 250,000 units this year, is that still the case?
John Corey: Yeah, that's still our assumptions.
Justin Long - Stephens Inc.: Okay. And I think my last question; you know we've seen copper prices pull back pretty substantially here recently. Could you talk about what impact that might have in terms of your margins and earnings or since you are pretty much hedged, I think it was about 96% hedged you said; will it just be a net neutral or some type of lag impact for you?
John Corey: I would just look at that just as more net neutral because 96% of our customers we now have contracts and one of our key customers they actually gave us a forward forecast, we do hedge based on the period and the quantity which they are looking at so it’s a straight pass-through, so we've done a lot to neutralize the volatility of copper whether its rising substantially or falling. So I think the one that we track very closely that we didn’t mention in here, but its clearly an active one and that is the dollar has been pretty volatile. The euro has stayed fairly flat consistent with our forecast its running right around 1.31 today in the euro, so in the SEK running close to that; the real has stayed pretty close to two to one. But if you've noticed the Mexico peso has strengthened fairly dramatically. We took 60% in hedge this year, but right now the Mexico peso is trading spot at about 12.08 so it has strengthened pretty significantly from the last three to four months. So we are starting to look at that and how do we deal with that for 2014, because we do have a lot in position for this year for about 60% of what we have, but we will have to deal with that because we have four plants in Mexico and we spend roughly about $60 million a year in Mexico dollar equivalent for direct labor and variable overhead and those are disbursements in Mexico but apply to US product sales. So that’s one exposure that we are watching and we’ll have to figure out how we deal with that for 2014.
Operator: Thank you. Your next question comes from the line of Jimmy Baker of B. Riley & Company. Please proceed.
Jimmy Baker - B. Riley & Company: I appreciate the color thus far, it actually answered quite a few of my questions, but I just wanted to go back for a moment to the new business awards. I think John you touched on this, but just as a follow-up to what you secured in April. Could you maybe just give us any additional framework on either the magnitude or directionally how the margins of those two business wins compare to your corporate average?
John Corey: Well, both of those awards probably will launch in 2015 as we go through the whole process, particularly the sub-sensor because there is got to be a, you know its got to be, we've got to validate our production on it and then we've got to turn it over to the customer and they have got to validate it on their engines, so there's a longer cycle on that so that will happen in 2015. But as we look at that and so as we go through this there will be some tweaks, but we would not, we would expect that hopefully on this new technology to have slightly higher margins on that as we bring that into the marketplace. On the other one, that's going to be a significant dollar award and I think its probably scheduled for late 2014 and that will be in the actuation product family that we had out of control devices. So margins on that should be consistent with current actuation margins in that product family so, but it is a significant award and have create a nice category for us in this actuation shift by wire category.
Jimmy Baker - B. Riley & Company: Okay, that's helpful. And just want to touch on the commercial vehicle market here. So far that’s earning season and your commercial vehicle customers have talked about seeing much stronger and now accelerating North American truck orders, obviously well above the rate that’s being produced. You may have heard couple of your peers comment that production might be running at an annual rate of over 300,000 Class A trucks on Q4, up from I think more like 220,000 in Q1 and I appreciate that’s more aggressive than your assumption, but can you maybe just help us understand what kind of earnings leverage you’d have during such an up-cycle, what portion of 8 million to 10 million in structural cost reductions might feed back in or you maybe provide a target for incremental margins as we move through the cycle?
George Strickler: Well, Jimmy, I don’t think we've heard a number that high and I think what we found in our experience working with our commercial accounts, we're much better to flex up the schedules as oppose to staffing for headcount and materials, then try to ramp that back down if they don’t deliver that. So that would be the first way we approach it, but normally the way we’ve looked at is that our marginal contribution in the wiring business is down around 20% on sales, $0.20 per $1 of sales and then our electronics business tends to run in that range around $0.30. So I think we’ve sized our cost structure right based on the volume we're looking at. We might have to flex some things on variable cost up, but those should be our relative marginal contribution. If those are the straight sales between the wiring business and our electronic [control] device businesses.
Jimmy Baker - B. Riley & Company: And just along those lines, I know you stated as part of your longer-term target, you’d like to be at 6% to 8% operating margin business. Clearly you have been making some pretty significant sequential progress towards that target over the last three quarters, when do you think you could realistically enter that 6% to 8% range, do you think if current production forecast hold that you could be exiting this year on that run rate?
George Strickler: Well I think that might be a little aggressive, I think we would be approaching that bottom into that range sometime in 2014 depending on the mix of the products. Clearly Brazil is a key factor there and markets have improved over the last three quarters, they are probably the largest question markers. It’s really hard to tell will that market continue as they are or will it come up. As it increases it has the potential to increase at fairly rapidly per sales due develop, but if it stays fairly flatters goes down. I think they have done a good job of balancing their cost structure. So these are directional targets we give and we think that would be more out there in 2014, as opposed to the tail-end of this year.
Operator: And your next question comes from the line of Brian Sponheimer of Gabelli & Company. Please proceed.
Brian Sponheimer - Gabelli & Company: So you have things really moving in the right direction here, you are doing a job on the operation side, and the only thing that sticks out now is that, you have 9.5% debt that you can't call until next year, what opportunities you think may exists over the course of next 12 months to accelerate that. We just saw with TOWR a refinance that basically doubled the stock in three weeks, there is nothing that says that wouldn’t be similar if it took place with your company. What are your thoughts about this?
George Strickler: Well, we have done a lot of work in this area, Brian we are somewhat limited because of our four year non-call on the indentures. We will have to prepay the interest up through that cliff period which will be November 2014. We have looked at alternatives of rates and as you know we are trading in the premium about 109 right now. So some of the alternatives could be, we can buy down 10% of the debt. I guess if the question of what we think we need for growth and we certainly look at investment and the Bolton acquisitions or do you position and ramp some of the debt down in the short term and then refinance the whole package in November in 2014. So we’ve looked at some alternatives in our road show material that will be out in the market over the next three weeks. We clearly talk about refinancing in 2014 in that facility and translation for us because I think we can do an unsecured deal as long as the capital markets stay strong as they are today and it’s a question of where you can take the rates down, but it clearly would be in the range of 150 to 250 basis points. So that’s an attractive deal for us to do. I think it will be well received in the market and we are very conscious of that and we are working on it and thinking about it a lot, what we do in the short term and up through November 2014.
Brian Sponheimer - Gabelli & Company: Sounds like it could really turbo charge 2014 and 2015 (inaudible). That’s good, all right, thank you.
Operator: And your next question comes from the line of [Richard Helga at Morningstar]. Please proceed.
Unidentified Analyst: I wanted to ask about slide 16, there is a contribution of $0.03 from another category. I wonder if you could give us a little color in there?
George Strickler: Let's see fourth quarter to first quarter, I don't know what that is off the top of my head. Richard we will come back and give you an answer on that.
Unidentified Analyst: Okay, other question, we've got in Europe the Euro 6 commercial vehicle standards for emissions, we've got some non or some off-highway diesel emission standards this year and next year here in the US, does any of your electronics the emissions control those kinds of things are you going to see some benefit from these regulations coming online over the next couple of years even though its not all necessarily in the commercial vehicle market.
George Strickler: Yeah, I think certainly in our temp sensor line EGT temperature sensor line we'd see that maybe and then as we roll out our [6] sensor that would definitely benefit from those. And there maybe some other opportunities, but I think that's the primary. When we look at the emissions segment that's what we primarily look at. Certainly on a pure basis when they change the emissions standards and one of the big questions is do we have a prebuy in Europe because next year in January they have the new emission standard and is it going to be a prebuy in the fourth quarter as people move in that and we still don't have a good answer on that. I mean talking to our customers they remain cautious about that. So overtime there will be some benefit from these emission changes. As you know one of our key underpinnings that we try to look for is products that are regulated because then they have to be installed and so in our emission segment that will be one that benefits.
Unidentified Analyst: Yeah, and India also you are expecting a pop there because you've got Euro 5 coming on next year.
George Strickler: Yeah. I think I don't have a good handle on whether we see any significant wins going on in the Indian market right now.
Operator: (Operator Instructions) Our next question comes from the line of Robert Kosowsky of Sidoti.
Robert Kosowsky - Sidoti: I was wondering I don't know if I missed it but could you maybe talk about the sequential increase in SG&A and is this 48 you know maybe pushing 50 million run rate sustainable.
George Strickler: Yeah, the only thing it will vary from the level we are at right now would be incentive compensation Rob; you know there was a significant drop off last year because performance and so it didn't get paid. So I think it could somewhere between $1 million and $3 million depending on performance this year. That would be the only factor outside of inflation that you would see in SG&A.
Robert Kosowsky - Sidoti: That’s helpful. Otherwise given that we might see an increase in production rates as we go through this year, what are you doing to prepare for that in the wire harness operations in particular and how do you feel about your current capacity utilization now versus what you can do or are you certain to add back employees, are you going to go to temp to over time, how are going to manage just to make sure that we do execute on this.
George Strickler: Well, you know again as we've looked at in the past that there's a sudden increase it just creates havoc in the manufacturing operations, not only from the supply chain but also bringing on people to have them trained. Our initial as we see volumes ramping up we would have to hire people because of the skill set, we need them in there to be trained for about three months before they reach productivity levels. And so when we see spikes in volumes that causes us some problems and I think in the past from our wiring business, that’s what we've seen. We're doing a couple of initiatives in our wiring business to continue to improve the operational performance of that business because we're not satisfied with that. And there is a lot of work that’s going on to continue to improve that business in terms of process improvements primarily in the dye centers and cutting centers of that business because that’s really the front end of the process. But if there was a significant ramp up, we would start to work some overtime, but as you know in Mexico, after certain number of hours, it gets difficult to get people to come in. So we would probably have to hire more people. The other thing we're doing now which is currently underway as we're rebalancing our factories and we talked about that, with this LTO plant that we put up last year, had online two years ago, we're rebalancing that to take some capacity offload from our other plants and put it in there. So we have a better mix of manufacturing capabilities and we don’t tax any one plant. So as volume comes up, we will probably put it more in this LTO operation.
Robert Kosowsky - Sidoti: Okay, but from where the build plants look today, you feel pretty confident you have a plan to be able to have the right labor force, the right locations in order to be able to execute in the back half of the year?
John Corey: Well, yes, as long as they don’t spike up then we should be in a good shape. I mean we constantly are looking at that. For instance, we saw in the first quarter here, some specific product families, spike up of some volume and that cause us some problems because when the plants plan in to run, let’s say 5% increase rate and then all of a sudden goes up to 0.5%, it does cause you some problem. You have to get through the whole process of readjusting for that, but we're trying to watch that very closely. And I think the comment made earlier about North America commercial vehicle market being 300,000 units, we have not seen that forecast and discussions with our customers, we have not seen them started to forecast that. But we took a note of that. We're going to go back out to our planners and say look, let’s make sure in a sales organization let’s make sure we're prepared for this because large spikes in volume, again as I said, are problematic for manufacturers wherever there is a high labor content and the problematic because you have to get the people in and train them and also problematic for most because the supply chain may not able to respond and we've seen that before in the CD market when the supply chain couldn't respond back to some of the growth which had been there in the first quarter of 2012.
Robert Kosowsky - Sidoti: Okay, that’s helpful. Otherwise what is, -- is there a amount, I don't know if I missed it on the call, but the amount of business you are walking away from this year and next year as you are getting some of these new products layering through, how are you kind of looking at, it sounds like some of the product lines are on, what's the quantitative impact on that?
John Corey: Rather than guidance, we talked about 174 million. So there is no net new business we're walking away from. In fact, we have increases this year and over the forward four years and it's been cadence, it will be in the deck that we're going to post. We will post that I think by month from now and all the presentations. And that what is posted now is not going to change.
George Strickler: Yeah, we don’t see any decontamining of product going on. We don’t see the end of life stuff is factored in to that net new business award. So right now, we're pretty confident about that. The other thing is on the electronic side, we just had a review with them. There seem to be a lot of opportunities coming forward. All of that has a longer development cycle as you know. So I think we got ample opportunities continue to drive our growth in our business.
Robert Kosowsky - Sidoti: Okay, I guess just to rephrase, like how much business is end of life into this year versus say what it was last year kind of the just the lower margin product, I am trying to get a sense of how product mix is going to get a nice lift over the next year or two?
John Corey: Well, I don't really think that -- I think when we look at some of our end of life programs, I am not sure I’ve got a solid number for that and it doesn't really -- I don't think it's very significant for us, particularly in this year versus last year. Now as we did talk about in Brazil we took out some product lines, lower margin audio lines and then help us improve our mix and some lower margin OEM lines down there. So we are adjusting that. So we constantly look at how we can tweak our performance by looking at the low end lines, but those are conscious decision by us to exit certain categories. On our side of the market in North American and then Europe, I don't think there is significant amount.
George Strickler: We are looking where we are at Robin, it’s between 15 million and 20 million so we don't have a lot that rolls off this year. We’ve got some more next year but there is backfilling going on with a lot of that, so you will see more run outs of product lines in 2014.
Robert Kosowsky - Sidoti: And then finally, is there a minimum -- it might be a tough question I asked for now, is there a minimum size of bond offering you could do, because you start to pay back from the international cash that kind of come back on bond yield?
George Strickler: We haven't looked at sizing because it really depends on what we think we are going to do in the acquisition size, but I think what I can give you is when John and I were on the road last year, the bond market clearly has changed somewhat and there were couple of thresholds they were important out there in the market, one was to have EBITDA over $75 million which I think we are clearly in that above that target now and then the average size deal at least get a price properly was about $200 million. So we will reassess that because if you remember from our discussion a year to two years ago when we did this is that we were actually debating whether we take the line down substantially, we took down $100 million to $125 million. We've finally size at $175 million because we felt that was the right size for the acquisitions, but I think with the addition of Brazil and the things we are doing globally, we will probably revisit that and determine what the right number is, but I know from a pricing standpoint and this won't drive the whole decision is the $200 million seems to be the right size. Now whether that fits with us of what we want to do with growth in acquisitions that will become the other criteria that we will evaluate as we make that decision.
Robert Kosowsky - Sidoti: Did you mention what the tax rate should be for the year?
George Strickler: Yeah, I didn't mention it, but the tax rate will fluctuate between 14% and 17% this year and it will depend on how our U.S. income comes in, but I think it will be in that range this year.
Operator: Thank you. I would now like to turn the call over to John Corey for closing remarks.
John Corey: Thank you for joining us on the call. We are very encouraged by the sequential improvement we've seen over the last three quarters, both in revenue and our ability to leverage that down to the margin lines. As we forecasted out in our earnings, we see continued improvement in both of those businesses and all our businesses. There are opportunities for us to continue working on improving our operational capabilities and our businesses really spending to the trend. By that, I mean, we are looking at our cost management, our costs very effectively to where we see the volume increases. A gradual increase in the markets as we are projecting would be very beneficial and we will leverage that going forward. And again, I think that as we've looked at this, as we've demonstrated over the last three quarters now even in the low revenue environment, we can generate the kind of -- we can generate profitability and a lot of that comes from our mix of products. So if you look at our markets, we are in the after market higher margin, we are in the commercial vehicle market, in the automotive market, and the Ag market. And so versus a tier play in any one of those markets, you can look at our performance and over the cycle we should be very well positioned. So with that, I would like to thank you for joining us.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the presentation. You may now disconnect and good day.